Operator: Good morning. And welcome to the First Quarter 2017 Earnings Conference Call of D.R. Horton America's Builder, the largest builder in the United States. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation [Operator Instructions]. As a reminder, this conference is being recorded. I will now turn the call over to Jessica Hansen, Vice President of Investor Relations for D.R. Horton. Please go ahead.
Jessica Hansen: Thank you, Kevin, and good morning. Welcome to our call to discuss our results for the first quarter of fiscal 2017. Before we get started, today's call may include comments that constitute forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995. Although, D.R. Horton believes any such statements are based on reasonable assumptions, there's no assurance that actual outcomes will not be materially different. All forward-looking statements are based upon information available to D.R. Horton on the date of this conference call, and D.R. Horton does not undertake any obligation to publicly update or revise any forward-looking statements. Additional information about issues that could lead to material changes in performance is contained in D.R. Horton's annual report on Form 10-K, which is filed with the Securities and Exchange Commission. This morning's earnings release can be found on our Web site at investor.drhorton.com, and we plan to file our 10-Q in the next few days. After the conclusion of the call, we will post updated supplementary data to our Investor Relations site on the Presentations section under News and Events for your reference. The supplementary information includes current and historical supporting data on our homebuilding return on inventory, gross margins, changes in active selling communities, product mix and our mortgage operations. Now, I will turn the call over to David Auld, our President and CEO.
David Auld: Thank you, Jessica, and good morning. In addition to Jessica, I'm pleased to be joined on this call by Mike Murray, our Executive Vice President and Chief Operating Officer and Bill Wheat, our Executive Vice President and Chief Financial Officer. The D.R. Horton team produced strong results in our first quarter. Our consolidated pre-tax income increased 32% to $318 million on a revenue increase of 20% to $2.9 billion. Our pre-tax profit margin improved 100 basis points to 11%. We experienced a 20% improvement in our absorption per community as home sales increased 15% compared to last year. These results reflect strength of our operational teams and diverse product offering across our broad national footprints, as well as solid market conditions. Our continued strategic focus is to produce double-digit annual growth in both revenue and pre-tax profits, while generating annual positive cash flows and increase in returns. For the trailing 12 months, our homebuilding return on inventory improved to 15.9%, up 290 basis points from 30% a year ago. And we expect to generate $300 million to $500 million of positive cash flows from operations for the year. With 24,500 homes in inventory at the end of December and an ample supply of land and lot, we are well positioned for the upcoming springs selling season and the remainder of 2017. Mike?
Mike Murray: Net income for the first quarter increased 31% to $207 million or $0.55 per diluted share compared to $158 million or $0.42 per diluted share in the prior year quarter. Our consolidated pre-tax income increased 32% to $318 million in the first quarter versus to $241 million a year-ago quarter. And homebuilding pre-tax income increased 28% to $294 million compared to $229 million. Our backlog conversion rate for the first quarter was 82%, above the high-end of the range we guided to on our fourth quarter call. As a result, our first quarter home sales revenues increased 20% to $2.8 billion on 9,404 homes closed, up from $2.3 billion on 8,061 homes closed in the prior year quarter. Our average closing price for the quarter was $297,000, up 2% compared to last year. This quarter, entry level homes marketed under our Express Homes brand, accounted for 28% of homes closed and 20% of home sales revenue. Our homes for higher end move up and luxury buyers priced greater than $500,000 or 7% of homes closed and 17% of home sale revenue. Our active adult Freedom Homes brand is still in the early stages of roll-out and customer response in the eight markets we are open has been positive. We still expect to have Freedom communities open in the third of our same day operating markets by the end of the year. Bill?
Bill Wheat: The value of our net sales orders in the first quarter increased 17% from the prior year quarter to $2.8 billion. And homes sold increased 15% to 9,241 homes on a 5% decline in our average active selling community. Our average sales price on net sales orders in the first quarter was $299,100. And the cancellation rate for the first quarter was 22%, consistent with the prior year quarter. The value of our backlog increased 7% from a year ago to $3.4 billion with an average sales price per home of $300,900. And homes in backlog increased 6% to 11,312 homes. Mike?
Mike Murray: Our gross profit margin on home sales revenue in the first quarter was 19.8% compared to 19.9% in the prior year quarter and 20.5% in the fourth quarter. 60 of the 70 basis points sequential change in gross profit margin was due to higher warranty and litigation costs this quarter. In the current housing market, we expect our average home sales gross margin to be around 20% with quarterly fluctuations that may range from 19% to 21% due to product and geographic mix, as well as the relative impact of warranty, litigation and interest costs. Bill?
Bill Wheat: In the first quarter, homebuilding SG&A expense, as a percentage of revenue, improved 70 basis points to 9.5% compared to 10.2% in the prior year quarter. We remain focused on controlling our SG&A, while ensuring that our infrastructure adequately supports current and future growth. We expect our SG&A, as a percentage of homebuilding revenues, to be lower in 2017 than in 2016. However, we expect the improvement for the full year to be less than the 70 basis points improvement we achieved this quarter. Jessica?
Jessica Hansen: Financial services pre-tax income in the first quarter increased to $24.2 million from $12.4 million in the prior year quarter, driven by growth in revenue and an improved operating margin. 93% of our mortgage companies loan originations during the quarter related to homes closed by our homebuilding operation. Our mortgage company handled the financing for 57% of our home buyers, up from 51% in the same quarter last year. FHA and DA loans accounted for 48% of the mortgage company's volume compared to 50% in the prior year quarter. Borrowers originating loans with our mortgage company this quarter had an average FICO score of 719 and an average loan to value ratio is 88%. First time home buyers represented 45% of the closings handled by our mortgage company compared to 43% in the first quarter last year. David?
David Auld: During the quarter, our total number of homes in inventory increased by 6%, a normal seasonal trend as we approach the spring selling season. We ended the first quarter with 24,500 homes in inventory, of which 1,600 were models, 13,400 of our total homes were spec homes with 9,700 in various stages of construction and 3,700 completed. Compared to a year ago, we have 14% more homes in inventory, putting us in a strong position for the spring selling season and to achieve double digit growth in revenues in 2017. Our first quarter investments in lots, land and developer, totaled $847 million, of which, $552 million was for finished lots and land and $295 million was for land development. We plan to increase our investment in our land and lot supply this year at a rate to support our expected growth in revenues. Mike?
Mike Murray: At December 31, 2016, our land and lot portfolio consisted of 213,000 lots, of which, 119,000 or 56% are owned and 94,000 or 44% are controlled through option contracts. 77,000 of our total lots are finished, of which, 32,000 are owned and 45,000 are option. Our option lot position increased 54% from a year ago, while our overall lot position increased 20%. Our 213,000 lot portfolio is the strong competitive advantage in the current housing market, and a sufficient lot supply to support our future growth. Bill?
Bill Wheat: At December 31st, our homebuilding liquidity included $1.1 billion of unrestricted homebuilding cash and $888 million of available capacity on our revolving credit facility. Our homebuilding leverage ratio improved 690 basis points from a year ago to 28.6%. The balance of our public notes outstanding at December 31st was $2.8 billion, and we have a total of $350 million of senior notes that will mature this year in May. Subsequent to quarter end, Moody’s upgraded our corporate credit ratings to BAA3, and we now have investment grade ratings from all three rating agencies. At December 31st, our shareholders' equity was $7 billion and book value per share was $18.70, up 14% from a year ago. Our priorities for cash flow utilization are center around being opportunistic, while remain disciplined. Our top priorities for fiscal 2017; include, continuing to consolidate market share by both investing in our homebuilding business and through strategic acquisitions; paying off $350 million of our senior notes on maturity in May; and providing consistent dividends to our shareholders. Jessica?
Jessica Hansen: Looking forward, our expectations for 2017 are consistent with what we shared on our November call, and are based on current market conditions. We still expect to generate a consolidated pre-tax margin of 11.2% to 11.5%. We also expect consolidated revenues of between $13.4 billion and $13.8 billion, and to close between 43,500 and 45,500 homes. We anticipate our home sales gross margin for fiscal 2017 will be around 20% with potential quarterly fluctuations that may range from 19% to 21%. We estimate our annual homebuilding SG&A expense will be approximately 9.0% with the second quarter of the year higher than 9% and the third and fourth quarters lower than 9%. We expect our annual financial services operating margin to be around 30%. We are forecasting a fiscal 2017 income tax rate of approximately 35% and an annual average diluted share count of approximately 380 million shares. We also expect to generate positive cash flow from operations for the third consecutive year in a range of approximately $300 million to $500 million. Our fiscal 2017 results will be significantly impacted by the strengths of the spring selling season, and we will update our expectations as necessary each quarter as visibility to the spring and the full year becomes clear. For the second quarter of 2017, we expect our number of homes closed will approximate the beginning backlog conversion rate in a range of 88% to 92%. We anticipate our second quarter home sales gross margin will be around 20%, and we expect our homebuilding SG&A in the second quarter to be in the range of 9.3% to 9.5% of homebuilding revenues. David?
David Auld: In closing, our first quarter growth in sales, closings and profits, and the improvement in our pre-tax profit margin are the result of the strength of our people and operating platform. We are striving to be the leading builder in each of our markets and to continue to expand our industry leading market share. We remain focused on growing both revenues and pre-tax profits at a double-digit annual pace, while continuing to generate annual positive operating cash flows and improved returns. We are well positioned to do so with our solid balance sheet, industry leading market share, broad geographic footprint, diversified product offering across our D. R. Horton, Emerald, Express and Freedom brands, attractive finished lot and land positions and most importantly, our tremendous team across the country. We'd like to thank the entire D. R. Horton team for their continued focus and hard work, and we look forward to continuing to grow and improve our operations in 2017. This concludes the prepared remarks. We will now host questions.
Operator: Thank you. We’ll now be conducting the question-and-answer session. We ask that you please limit yourselves to one question and one follow-up [Operator Instructions]. Our first question today is coming from Stephen East from Wells Fargo. Please proceed with your question.
Stephen East: Thank you, congratulations guys. I'm sure you're going to hear it several times today, but great quarter. Maybe we'll just start with the orders, because you're going to probably get that question 100 times also. But can you talk a little bit about the trends that you saw through the quarter? Did you see any impact from the rates, from the election, product type disparity, what was going on? And then, whatever type of commentary you want to give post quarter what we've seen in January so far.
David Auld: We were very pleased with the quarter. And we saw very strong improvement in our absorptions, community-by-community. Throughout the quarter, we continue to see a good response to our positioning. We were much better positioned coming into this first quarter this year than we had been, and we were able to execute against that. The market therefore is a very solid market. I wouldn't say we saw significant deviations within the quarter month-to-month. It was a pretty consistent result for us. In January, the Cowboy lost. So, in this part of the world, the selling season is kind of starting now. So, we're excited about the silver-lining on that cloud for us. But we continue to see good sales trends in January, very early into spring. And we'll certainly keep you updated as things progress, and we get back with you in April on that one.
Stephen East: And follow up the absorption one, can you sustain it. And then with the rate move that you've seen so far, I assume that you're seeing very few that are not qualifying. Are you starting to see any trade-down in product? And at what rate, do you think you would start to see maybe some of those Express buyers have to drop-out of the market?
David Auld: Stephen, it's always good to be, in my mind anyway, the price leader in rising interest rate environment, because you can’t afford 300. And if you've got a product to 250, you can still support this. So, we like our positioning. As far as absorption for our community, at some point, no, you're not going to be able to sustain and continue. But our focus has been driving to 20% ROI. And so, we're going to drive absorption levels and improve ROI. And at some point, we're going to max out. The return we can make up of lag, and at that point, we will add flags.
Jessica Hansen: And for fiscal '17, we feel very comfortable that we can continue to drive further improvement in our absorption to offset any community count decline to generate 8% to 13% increase in closings that we’ve guided too for the year. So, clearly, we’re off to a strong start. And we can have some variability from quarter-to-quarter and how we get there for the year. As you saw, our sales were outside of that up 8% to 13% range. We could have a quarter where our sales are under that 8% to 13% range, but we feel very comfortable that for the full year, our closings will be up at least 8% to 13%.
David Auld: Stephen, we wouldn’t guide up double-digit if we weren’t confident that we could drive that level of absorption.
Operator: Thank you. Our next question today is coming from Stephen Kim from Evercore ISI. Please proceed with your question.
Stephen Kim: Well, I am going to just add my congrats as well, because it's clearly, while you orders were very strong and you also executed very well below the top line also, so congratulations on a good execution this quarter. My first question actually revolves around cost control. I mean, I know that you are always focused on leveraging your scale with your vendors. But I think that recently you’ve conducted a pretty significant rebidding process with some of your suppliers. And I was wondering if you would be willing to share what you think the overall savings opportunity might be from those conversations?
Bill Wheat: Stephen, we’re constantly rebidding our suppliers and our vendors across the board. We’ve had several pushes over the last several years really in which we pushed hard on rebidding. And so, yes, that’s a continual effort for it, and we’re continually working to mitigate certainly any cost increases and improve our cost wherever we can. On a year-over-year basis, our costs, our stick and brick cost which were put, were up only 2%, which is certainly a more moderate than we saw a couple of years ago. And so we’ve been able to keep our revenue growth per square foot exceeding our cost per square foot on the stick and brick basis, which is certainly helping us going forward. We’re seeing lot cost start to increase, lot costs were up 9% on a per square foot basis this quarter. So it’s a very -- we’re seeing very good results from our efforts to control our stick and brick, which is helping to keep our margins stable.
Mike Murray: And Stephen, we’ve been focusing a long time on driving a higher level of absorption on the community basis. And that allows us to control labor, and it makes the entire process of building house more efficient. And I think we’re wreaking some of the benefits of that.
Stephen Kim: Well, that’s really encouraging. My next question relates to deleveraging in the fate of very strong demand. I mean, we’ve seen your net debt to cap already now well below, what I would consider historical norms, and it seems to be on track to trend lower this year, giving a strong cash flow. I was wondering if you could talk to us about how you think about what the right level and what trajectory is appropriate for your leverage at this time, as we’re seeing some recent demand indicators inflecting upwards?
Bill Wheat: Stephen, we look at our balance sheet, our capital structure, and our guidance for the year and where we’re guiding the Company to be. To the extent that we’re able to still grow at a solid pace and consistent double-digit pace over the course of a year, and we’re able to invest sufficiently to support that growth in 2017 and beyond and maintain a sufficient land pipeline, to the extent we're able to support that level of growth and still generate positive cash flow. From our standpoint, we don't have an ideal leverage level. We will take that cash flow and then do what we feel like is best in the interest of our overall Company, and our shareholders for the long term. And so an element of that that we’ve prioritized this year is to continue to de-lever. We expect to generate $300 million to 500 million of cash flow, while still supporting our growth. And we’re going to use $350 million of that to pay down debt, while continuing to reinvest in the business and continue to pay strong dividend to our shareholders, which we've increased and expect to pay about $150 million in dividends this year. So, it’s really not an ideal -- not necessarily a target ideal leverage level, it's really just we're balancing that with supporting the growth we expect to generate the Company.
Mike Murray: We're trying to create as much flexibility into the future as we possibly can. And so like Bill said, we don’t a target on debt. But right now, we're generating enough cash to buy the land and lots that we need to support double digit growth. And speculating beyond, that’s just not in our nature to do.
Operator: Thank you. Our next question today is coming from Nishu Sood from Deutsche Bank. Please proceed with your question.
Nishu Sood: I wanted to ask about, first the backlog conversion ratio. Very, very strong conversion ratio, I think, the strongest in five years, just wanted to dig into that a little bit. You mentioned you're obviously driving absorptions in communities. That may have played a part of that. But on the other hand, there's still, I think, pretty widespread concerns about labor. And so, how should we think about that? Are we getting back to normal in terms of just the ability to deliver homes? And so what's helping you overcome the labor concerns out there?
David Auld: Nishu, we feel we were coming in the first quarter much better positioned, I mentioned before, on our homes and inventory, and where we are right now at December 31st with 24,500 homes in inventory. That is a great indicator of future closings, because we're getting the houses we want out of the ground, we're getting them where we want, and working them through to completion and then we're closing them. That's for us a much better predictor of closings volume in a given quarter perhaps than backlog conversion is. In terms of back to normal, I don't whatever is normal in this business, it seems like the conditions are always changing a bit year-to-year. And we're building a platform that allows us to respond to those market conditions, and look to position our communities in front of the market with the trades we need to build the houses when we want to get built.
Nishu Sood: And another number, very-very strong, I think it’s a record for your first quarter SG&A. I think it might be your first single-digit number you've ever reported, very strong performance. You mentioned that look, hey, don’t expect the same level of improvement on the subsequent quarter, just wanted to dig into that a little bit. What drove the strong performance that might reverse in the subsequent quarters? Obviously, you've got the corporate relocation coming up that might be a factor. But why would it reverse after such a strong performance in the first quarter?
Bill Wheat: Nishu, our costs that we had in the first quarter were normal. There wasn't anything unusual there in the cost at all. It's was really driven by the revenue line. We had guided to -- we exceeded the guidance that we provided for our backlog conversion in the first quarter, back to your first question. So our revenues were higher than that guidance range. And so then, therefore, that generated really strong leverage on our SG&A cost in the quarter. As we look forward to the rest of the year, our annual guidance for revenues are still in the 10% to 14% range, units $8 to $13 -- $10 to $14. And so, we do expect solid leverage on our SG&A, but we don’t expect it to continue to be at 70 basis points. But we’re very pleased with the start to the year. We’re very pleased with our positioning, and our inventory, as well as in our SG&A expenses and our infrastructure and looking forward to continuing leverage that throughout the rest of the year.
David Auld: Nishu, thank you for noticing that, that is something we worked very hard at.
Operator: Thank you. Our next question today is coming from Alan Ratner from Zelman & Associates. Please proceed with your question.
Alan Ratner: David, maybe this question is for you, or anybody can chime in. But I think everybody is trying to read the tealeaves on what impact, if any, higher rates might have on demand. And I think you certainly have a very balanced outlook there, and seems like there was no impact this quarter, certainly. I was curious if you were to go back in time in prior periods where we’ve seen similar rate moves in 2013 to most recent instance. But certainly, there have been others. And if I look at your '13 results, you and everybody else pretty big deceleration in orders in that period and we generally have seen that in prior periods as well. So, it might be too early that to figure out what exactly is going to happen this go-around. But I was curious back then when you were out there in the field visiting your communities. What type of signs do you see that might have foretell that slowdown, and compare and contrast that maybe to what you’re hearing from your people in the field today with that move we’ve seen over the last eight weeks or so? Thank you.
David Auld: Well, 2013, I don’t know that it was necessarily the rate increase as the rapidity of the rate increase it kind of shocked the market. And you saw, I would say, a deceleration in traffic, less consumer confidence deal from our sales agents. We fought through it. I think we ended with a pretty good 2013. But it did have a significant impact. Right now, the over-optimism that seems to be up there in the market, just traveled through Florida, and I’ll tell you, Florida feels like it is going to market as I’ve seen the long time. Our sales agents were very excited. And we have inventory that right now we’re in the best competitive position we’ve ever been. As far as you great competition, price point competition model against model, it is as low as I have seen it for us. We’re very bullish today on positioning inventory in front of what we think is going to be a pretty strong sales season.
Mike Murray: Alan, I think we’re seeing -- we see interest rates trend up gradually overtime today, in connection with job growth income growth and overall consumer confidence. I think those are very positives, because we’ll see good household formations, we’ll see good confidence by the consumer, and able to adjust to a gradual rate rise that seems to be telegraphed. I think in '13 what was different is that rates spiked-up very quickly for no reason, that was really tied to what people felt on the ground at the time. It was happened in a vacuum and it had very negative impact. Today, I don’t think those things are happening in the vacuum. I think there's, as David mentioned, there's confidence, there's good traffic in the sales offices, there’s very good confidence levels across our platform of 1,600 model homes. Our sales agents feel very good about the traffic they're seeing, and they feel really good about the indicators they're getting. Our inventory positioning is strong going into the spring. So we're very encouraged.
Jessica Hansen: And as David already…
Unidentified Analyst: It's Ivy, I was just going to ask you guys, sorry Alan for jumping in. One of the questions we get a lot from our clients, especially because of your strength in leadership and entry level, and recognizing that you were ahead of the curve and certainly pioneers in many markets that others are following suit. That the entry level customer is likely to be the most impacted on a rising rates. And frankly what we've heard is that it might even be more per se to the buyer who's stretching to maybe get to a move up. And so maybe sensitivity within the portfolio, maybe you could talk about the experience. So they just buy a little less house, a little less option. If in fact, you do see, if rate continue to rise and you do, and the future see some impact. Can you give us some of your perspective around the price sensitivity within the portfolio of different price points that might be helpful?
David Auld: Well, what we are seeing is increasing demand. And I think, like Mike said, as long as the jobs are there nominal increases, over a period of time, people are going to adjust them. The position we're in is that we have a pretty broad product line in the Express and entry level Horton that we can flex down in price to meet a lower demand price, a lower price.
Jessica Hansen: And as David mentioned earlier in the call, Ivy, that is why we believe our results are what they are and we've been focused on offering an affordable product. And we're going to continue chose specifically with our Express homes, and our new Freedom homes brands for the active adult. And we believe right now that's why we haven't seen any impact from the rate rise is that we are positioned where we want to be, and we'll continue to adjust as necessary to continue to offer an affordable product, regardless of the rate environment we're in.
Operator: Thank you. Our next question today is coming from Eric Bosshard from Cleveland Research Company. Please proceed with your question.
Eric Bosshard: The progress on absorptions, obviously impressive, I'm curious as you think about the growth path forward, the plans in terms of community count growth, the success you're having. Does it encourage you to be more aggressive in opening new communities over the next 12 months, just curious if your thinking on that has evolved?
Mike Murray: Sure, Eric. Really, our outlook on community count is the same as it was last quarter. We expect community count from where we are today to still remain relatively flat over the next few quarters. At some point, we would expect it to increase. But right now, our community opening schedule would indicate that it’s going to stay relatively flat. So sequentially, relatively flat, which would, it still indicate the year-over-year decrease. So, in this quarter, community count was down 5% but with the 20% absorption improvement, our sales are 15%; so, in the short to medium term, still relatively flat.
David Auld: That's exactly right. Eric, I think also what we're seeing is the impact of some of the communities we’re opening now are frankly more productive communities than some that are closing off. We've been focusing on a return based model for the past several years, and the fruit of that's coming through. We're seeing our return on homebuilding inventory jump up almost 300 basis points on a trailing 12 month basis over where it was a year ago. And our discipline around living within our means inventory wise and being very focused on the balance sheet has encouraged our field teams to be very selective in the community to bringing in line and whether deploying their capital as to whether it gets the most turn out of that capital. So, that's what we’re seeing, I think, some good pickup in our absorption on a flag-by-flag basis.
Eric Bosshard: The second question is in terms of the runway with Express, both from a competitive standpoint and a cost standpoint, and customer standpoint. Wondering how you view that? And if you view that any different if the runway and the opportunity is even greater than you had thought. Just wonder where we are in this cycle of the sustained success, or even accelerating the success with what you've done with Express?
Bill Wheat: I will say the demand for the product and the returns from that that are able to generate very surprisingly. It was a much deeper and higher demand market than I thought it was going to be when we rolled it out. As far as sustainable, I think, that's a biggest part of pyramid, that's we're most of the buyers are. We are very well positioned in there. And we certainly feel like we can compete effectively and sustained, and grow. We’re just rolling out in the west and just actually rolling out in Phoenix to kind of early in the stages in Denver, and maybe it's got a -- we feel like we've got a quite a bit of runway there. And we're equally excited about Freedom, which is our edge targeted edge designed product that we think is going to fit very nicely with Express, and offer some that does exist in market today.
Operator: Thank you. Our next question today is coming from Ken Zener from KeyBanc Capital Markets. Please proceed with your question.
Kenneth Zener: So, I'm trying to understand, given the orders and to your units under construction converging, why you’re thinking with that broad range. Because you are closing as a percent of units under construction in 1Q was kind of normal, so it didn’t seem like that constrained. Orders have been following the seasonality over the last few years. Your under construction is up 14%. So how does that translate to 10% unit delivery for the midpoint for the year? I mean, what are we kind of missing there? Or is it just a natural conservatism on your part?
Bill Wheat: Well, Ken, our guidance is not 10% on unit, its 8% to 13%. So there is a range there, so we could certainly be 10%, and still be in our guidance range. And as you well know, the entire year is driven really largely by the spring selling season. And so on the front edge of that and we certainly feel optimistic about it and we're positive about it, and we really feel like our positioning is very strong for that, but it hasn’t happened. So, we will evaluate the spring as we get into it. We will certainly evaluate our guidance, and we’ll update that as we thought we need to. Once we have the visibility into the spring, and it's still too early to do that at this point.
Kenneth Zener: Understood. But we've had normal seasonal trends, so you don’t need anything stellar to actually hit the high-end of your unit, is my, I guess, statement. [Multiple Speakers] yes, understood. Just for perspectives here, so not just certainly about the quarter but your lot costs increases in your stick and brick increases. You talked about what it was in 1Q. Could you just give us, just have a little broader trend, if you will, and hopefully have this available to you. What's the loss and separate stick and brick costs were in inflation wise for FY16 and FY15, just so we can kind of have that context?
Jessica Hansen: Sure Ken. I'll talk about it very generally. And I am happy to follow up on the specific that we’ve given on most of our calls over the last couple of years. In fiscal '15 is really where we started to see the sharpest increase in both, really primarily labor and to some extent materials. Therefore, a couple of quarters, we did experience a high single-digit percentage increase in our stick and brick cost per square foot, which was outpacing our revenues at that point in time. As we moved through the end of '15 and into '16, we were able to get that closer to call it a mid single-digit percentage. And our revenue started catching up with that stick and brick costs, which is where you saw our gross margin really start to stabilize and become very consistent for the last, call it, six to eight quarters now. And as we’ve kicked off '17 and really the end of '16m we’re in a low single-digit cost inflation environment. This is all stick and brick that I’ve been talking about. In terms of lot costs, lot costs, if you go back to '15 and '16, pretty needed increases really into the back half of '16, which was when we started seeing, call it a mid to high single-digit increase in lot costs. And this quarter is one of the higher in terms of we were up 9%, as Bill mentioned earlier, for a lot cost increase on a per square footage basis. But we’ve been able to offset the majority of that with price and kept that gross margin very, very consistent, at least from a lot level gross margin perspective.
Operator: Thank you. Our next question today is coming from Bob Wetenhall from RBC Capital Markets. Please proceed with your question.
Bob Wetenhall: You guys, you’re having a fantastic start to the year, congratulations. I wanted to ask you, how much of your outperformance and the strength in orders you attribute to, you guys taking share, relative to the broadest thing to the market. Are you guys doing something on the ground so you’re picking up share?
David Auld: That’s always our goal. As we compete in every community and we continue to have affordable product out there, that’s always our goal. If you look, really, when you look at share you have to look over a longer trend. And we certainly over the longer term have been pretty consistently gaining share, and that's certainly our goal going forward; market by market, community-by-community and then rolling-up to the overall companies to continue to gain share in marketplace, and looks like we’re in really good position to do that. We’re looking to position our communities our homes to be the best choice for every customer in every market that we’re serving. So to the extent that helps us gain share, that’s great to the extent it just helps us grow with the market, we’re going to do that as well.
Jessica Hamsen: And clearly, our product offering at the Express entry level affordable price point has driven an outsized increase in those efforts over the last couple of years.
Mike Murray: Bob, everyone of our operators wants to be number one in their market. Whether they’re closing 100 houses and 7,000 permit market or 500 houses and 600 permit markets, they want to win. And that’s -- we instill that, we promote it. And our expectation is that they will win. With that said, we will gain shares.
Bob Wetenhall: Well, it sounds like your execution is great. And my just follow-up question. You reiterated free cash flow guidance, M&A is the core strategy, you guys have a great track record of that. What's the pipeline like? And do you think it's a public or private type of M&A situation? Is there anything out there size wise that would be a game-changer that would be a good fit for the platform right now? Or do you think it's just going to be kind of selective sharp-shooter M&A? Great job, and thanks and good luck.
Mike Murray: Thanks Bob. We continue to look at a lot of opportunities, and we evaluate them all against the track record we have. And so we have a very high bar for what makes sense for us to bring on-board. But we continue to look at every opportunity that's presented to us, give us a very serious look and try to learn and understand how it could be a good fit for the Company. And we will continue to do so. And it's been a very active time over the past few years, and I expect it will continue to be so.
Bob Wetenhall: If you don't find that M&A opportunity, what do think you'd do with the cash, because you got a lot a cash on the balance sheet currently?
Mike Murray: Well, over the last couple of years, we've generated a lot of cash and we’ve consistently still found some acquisitions to allocate capital to work. So right now with pipeline that we see, our expectation is that we will still find some acquisitions that fit. So right now, we'll certainly think about if we don't find some acquisitions that fit.
David Auld: There’s a great big old vault underneath the new Horton building. And Don wants to be able to spit it out down there and play in.
Operator: Thank you. Our next question today is coming from Michael Rehaut from J. P. Morgan. Please proceed with your question.
Michael Rehaut: Thanks, good morning everyone, and also obviously nice results on the orders, nice to see the rebound from the prior quarter. First question, I was hoping to dig into the Freedom homes rollout a little bit. You're still on track, it appears, and expecting to be in the third of your markets by fiscal '17 end. I was wondering if you could give us a sense of, and maybe remind us if we talked about this last quarter. But how does that Freedom brands product defer from your corporate average in terms of ASPs and sales pace? And given that it would appear that this is a market share gain opportunity. If this is something that is just getting revved up in this current year, is this something that you can, further perhaps take share in your given markets over the next two or three years?
Jessica Hamsen: Sure Mike. We definitely agree with the latter part of your statement, in terms of this helping us to continue to capture additional share, as David mentioned earlier on the call. This is a product that we don't think really is out there today in terms of a lower price affordable active adults community, smaller community size, limited amenities, but good locations, kind of a lock and leave approach. So gated where we can and some pools and small club houses in markets like Florida. In terms of a price point, very early stages, so we’ll adjust as we continue to roll it out. But we would currently anticipate it to run about 10% to 15% higher than a like Express product. And we do have plans, as you mentioned the beginning, to be in at least a third of our markets by the end of 2017. So not a huge driver of our 2017 results, probably more of a driver in 2018, but definitely something that's going to help us continue to consolidate share and rounds out our product offering for the one place we weren't really playing before.
David Auld: Super large demographics favor that brand, and as interest rates pick-up, these buyers are less mortgage sensitive. So it's kind of a hit against a little higher rate as well.
Michael Rehaut: And part of my, mind just to make sure I also get as part of that first question, the sales pace so that compares to the rest of the group. And then my second question is on SG&A, obviously continues to be a hallmark of the Company. It was interesting I was looking back at the past cycle. And in 2004, when you did a similar amount of homes close that you’re guiding for this year, you actually also had an SG&A of about 9.1, it looks like in that year. And what struck to me was is that there are many builders today talking about maybe having a lower cost structure this cycle versus last, either through digital marketing, which is something that you guys talked about as well. But I was -- just the similar amount of closings and similar SG&A, would suggest the similar cost structure. And I was wondering if there is some pluses and minuses to your business model, from a cost standpoint, certainly what comes to mind is your three or four brands today, which might require a little bit more SG&A relative to your singular approach last cycle. But I was curious about some of the pluses and minuses on the SG&A front, because on a top down level, looks like the same cost structure.
Jessica Hansen: Mike, I think, Bill will touch on the SG&A question, in terms of going back to your follow-ups freedom and absorption. Once again, very-very early stages for that brand, but we would likely anticipate it being faster than a typical Horton community, but probably not quite as fast tuning as an Express community.
Bill Wheat: And then, Mike, compared to the historical, we've looked at those historical comparisons as well. And you’re right, as far as where we were on SG&A as a percentage for the entire year in all four to similar closings was at 9.1 is a difference between then and now, as we were seeing significant price depreciation in our homes. In 2004, the data that I'm looking at it was a high single digits ASP increase then, which obviously creates a lot of SG&A leverage. And so today, we're achieving this with a much more modest ASP appreciation. And we're not really quite up to our peak volume yet, and with some lower on track for right now. And our expectations were we’re guiding the 9%, we certainly feel very confident that we can hit the 9%. But if we continue to see the improvements and efficiencies in our business, we expect to push beyond that before we get fully to peak volumes again. You asked about costs and where there might be some changes. So, certainly in terms of efficiencies from technology, and you mentioned the marketing, certainly efficiencies there. Those are things that have been positives over this life cycle over the last decade that are certainly helping to contribute. On the cost side, frankly, the cost of regulations and running our business throughout our business in all respects of our business are significantly higher today at the local level and really all the way up through our business, which is something that we've had to absorb as well as everyone else in the industry, and well publicized. So I would say that's probably one of the more significant offsets to the other efficiency we’re seeing.
Jessica Hansen: The other big difference, Mike, between ‘04, ’05, and ’06 and our business model today is we have extremely pretty aggressive growth targets in place that we were actually adding headcount and building infrastructure out for. Today, we are growing. We have a stated target of double-digit revenue growth, and we're making sure we’re incurring and adding SG&A to be able to handle that. But we don’t have to add at the same rate today as we would have had to back then to go after that.
Operator: Thank you. Our next question today is coming from John Lovallo from Bank of America. Please proceed with your question.
John Lovallo: First question is, the orders in the west region seemed little bit lighter than we expected, and time to perform some of the other regions. Was this community count driven, or maybe with the rollout of Express in the California. What were the factors there?
David Auld: John, in the west, as we’ve talked about we have not been investing as heavily in the west. We’ve been maintaining our position. And it's been relative to our other regions we’ve been making larger investments in other regions. So I think it’s a reflection of just a little bit lower growth expectation there in our west region, which does reflect itself in community counts.
Bill Wheat: And we did get, because we don’t have the number of communities there that we had in some of these other regions. The delays in getting a couple of significant communities online can impact quarter-over-quarter numbers.
Michael Murray: And we’re in the very early stages of Express roll-out there. So, it's not -- the west is not seeing as much benefit in absorption improvement and efficiencies. Yes that we have seen in other areas of the country.
Bill Wheat: We are getting those communities open, and there is certainly a market after.
John Lovallo: And then given some of Trump's rhetoric around bringing jobs back particularly in the auto industry. Is there any appetite on your part for expansion into the mid west? I mean, call it your Michigan, Wisconsin, Ohio. Have you guys considered that?
Michael Murray: We continually evaluate opportunities in our various markets, and we have looked at a few opportunities. When one make sense for us, we do think that those markets may have been a bit underserved in the past, and we’ll evaluate those. But we do like our conscious positioning of where we focus most of our energies and most of our capital into out of the southern markets. And even where a lot of -- there has been a lot of auto manufacturers open production facilities across the south and southeast that have been good drivers for us, and sources of good business in the Carolinas and Alabama.
Operator: Thank you. Our next question today is coming from Jack Micenko from SIG. Please proceed with your question.
Jack Micenko: The pick-up and absorption pace, I think, was one of the biggest things out of the quarter. I am wondering if you could give us, or if you have, the absorption pace improvement year-over-year for each of the brand, so Express, Horton and Emerald, just kind of get a sense of the relative mix? And do you have that number?
David Auld: No, we don’t buy brand. We’ve got it here by region, but we don’t have it here by brand in front of us, that’s something we could look at and follow up with later on. But that’s not something we have right here in front of us.
Jack Micenko: And then your capture at mortgage had a nice improvement year-over-year. What was driving that?
David Auld: I think, a lot it was driving the capture rate improvement, has been refocused by the mortgage company on improving their utilization that’s shown up in a lot of their operating metrics, their operating margins improving as they’re getting better overhead leverage as our volumes increase, and we’re serving more of the Express home buyers, the first time home buyers. It's very helpful to our homebuilding operating divisions to have that customer managed at the mortgage qualification process into the backlogs, so that when home is ready. They are ready with the mortgage to close, and the service levels provided by our mortgage company to the home builder, are very high in that regard. I mean, we're still out there. The mortgage company is competing for the business, customer-by-customer in a very competitive mortgage market. But they're able to deliver a higher service level to that customer, because in the integration we have with the builder in a lot of cases.
Jessica Hansen: And Jack to go back to your question, we were able to get our hands on the change in absorption by brand. And really, it was consistently strong across all three brands, a strong double-digit increase in absorption.
Operator: Thank you. Our next question today is coming from Mike Dahl from Barclays. Please proceed with your question.
Mike Dahl: Thanks for taking my questions and all the color so far, voice is a bit raspy. Wanted to ask about your owned option mix and you've been one of the few builders that's successfully pushed pretty meaningfully back towards option. And this quarter seems stabilized a bit recognize that it's not going to be so linear. But over time, you can continue to mix that higher. Curious to hear if there's anything reasonably you can speak to in terms of either incremental successes or challenges that you found and striking your option deals?
Michael Murray: Mike, we're still not to our goal of 50-50 balance in our total portfolio of option and controls. Very happy with the relationships we've been able to expand upon with developers across the country. Key trade partners for us frankly in supplying the first raw material input to our business is land or lots. And we're very pleased with the increase of finished lots we've been able to tie up and partner with others to develop for us. That's probably driving a bit of our lot costs increase, as a percentage of revenue, or per square foot that we're seeing in our current deliveries. It’s a reflection of our strategy to try to have more lots provided for the Company finish, rather than us self developing as much. And we’re seeing a big benefit of that in our focus on our improved returns, and we're seeing that return to come up as a result of that. So there is no magic bullet to that. It’s building relationships, partnering with the right people, market-by-market, having the experience with them, and the confidence to get projects on the ground and work through them together.
Mike Dahl: And as part of the lower investment in the west, a function of just really still being more of a cash market and given your focus on shifting towards this balance, it's kind of an intentional mix away from the west?
Bill Wheat: We're not decreasing our investment in the west. The balance is -- we like the west, we made a lot of money in the west. But we're just going to be disciplined, and we have underwriting guidelines for everything we do, whether it’s in Texas or California, it's got to meet the same underwriting guidelines, which by definition is a capital limiter. But no, we’re not reducing our investment in California. We're actually doing very well in the west. Very happy with our performance and the returns that we're driving.
David Auld: And just continuing to work just like everywhere else to improve our returns on the west, there's more capital intensive areas. It's still an area we want to improve our returns in.
Mike Dahl: One housekeeping then as a follow up, on the warranty and litigation this quarter. Is there any color you can provide, just as function of just as you've expanded in markets just normal course of business? Or is there anything regional or more one-time in nature?
David Auld: Inherently, the warranty and litigation areas is a bit volatile, but lumpy from quarter-to-quarter. And that’s one of the reasons why we give the range we give for our margin guidance as that's just an element that you can have some variability from quarter-to-quarter. And so the variable that we have this quarter is not outside our normal range, a little bit bigger than it has been recently, but nothing highly unusual at all.
Operator: Our final question today is coming from Jade Rahmani from KBW. Please proceed with your question.
Unidentified Analyst: This is actually Ryan on for Jade. Thanks for taking my question. It seems that other real-estate sectors are going through a period of price discovery as markets digest the economic outlook, but just after your rates. So can you say if you’ve seen any adjustments in pricing, or bid-ask spreads or demand in the land markets that you are currently purchasing in?
David Auld: We haven’t seen any kind of an adjustment in land pricing at this point. Anecdotally, we’re maybe getting another bite at a project that might have gotten buy once. So, some things maybe falling out, but that's just anecdotally -- it would be hard to put a trend of that or to see anything else happening on a harder quantitative basis at a global scale for us.
Bill Wheat: Ryan, we closed some deals in our first quarter that were as good as any lot buy we made in the last four or five years. So, there are opportunities out there, and you just got to be out there looking for them.
Unidentified Analyst: And then my second question is a bit more nuance. Have you seen any changes in the levels of completion in any of your markets from either single family rentals or multifamily apartments?
Mike Murray: We've not seen -- it's an alternative of housing choice for a customer. But typically, those sources of housing stocks are great feeder for us into our business as people see changes in the rentals and the opportunity to have an ownership position, and lock-in their housing costs, very attractive alternative. So we have not seen a significant change in our markets relative to those at this point. But we do help a lot of people get into their first owned-home out of rental situation whether it was single family rental or more traditional multi-family rental.
Operator: Thank you. We've reached the end of our question-and-answer session. I'd like to turn the floor back over to management for any further or closing comments.
David Auld: Thank you, Kevin. We appreciate everyone's time on the call today, and look forward to speaking with you again in April, as we share our second quarter results. And to the entire D, R. Horton team, an outstanding first quarter. You are truly the best of the best, and still fair enough of 2017.
Operator: Thank you. That does conclude today's teleconference. You may disconnect your line at this time, and have a wonderful day. We thank you for your participation today.